Operator: Thank you for standing by. And welcome to the Allstate First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Mark Nogal, Head of Investor Relations. Please go ahead, sir.
Mark Nogal: Thank you, Jonathan. Good morning. Welcome to Allstate’s first quarter 2021 earnings conference call. After prepared remarks, we'll have a question-and-answer session. Yesterday, following the close of the market, we issued our news release, investor supplement and posted related materials on our website at allstateinvestors.com. Our management team is here to provide perspective on these results. As noted on the first slide of the presentation, our discussion will contain non-GAAP measures for which there are reconciliations in the news release and investor supplement and forward-looking statements about Allstate's operations. Allstate's results may differ materially from these statements. So please refer to our 10-K for 2020 and other public documents for information on potential risks. And now I'll turn it over to Tom.
Tom Wilson: Thanks, Mark. Good morning everybody. We appreciate you making the time to follow-up on Allstate to see how we're doing. Let's start on Slide 2. On the left our strategy has two components, which is to increase personal property liability market share, and then secondly, to expand protection services, which are shown in those two logos. And we made substantial progress in executing that this quarter. Many of those things that we'll talk about on the right-hand side, were really a year plus in the making, but you see it all coming together this quarter. So, we closed on the acquisition National General in January enhancing our competitive position in the independent agent distribution. We executed agreement to sell Allstate Life Insurance Company and Allstate Life Insurance Company at New York, two separate deals there and that will redeploy capital out of the lower growth and return businesses and reduces our exposure to interest rate risk. We also can make continued progress on getting higher growth in our personal property liability business, moving into Phase 3 of Transformative Growth. Total revenues increased by 26.2% at quarter, which is an outstanding number. Policies in force increased by 20.6%. And of course, that's driven in large part by the National General acquisition. And we'll talk a little bit more about that in the call. A long-term approach to creating shareholder value in both investing and using reinsurance also benefited results this quarter. We hit substantial increase in performance-based income and reinsurance recoveries. Allstate Protection Plans continues its rapid growth. We launched Home Depot earlier this quarter. We had strong operating results with adjusted net income of $1.9 billion or $6.11 a share and it generated a return on equity over the last 12 months of 23.2%. And then shareholders also benefited with a $765 million of dividends in share repurchases. Let’s turn to Slide 3 and go through the first quarter financial results. Our revenues of $12.5 billion in the quarter increased 26.2% to the prior year quarter. And that reflects both the National General acquisition, higher investment income and realized capital gains. Property-liability premiums earned and policies in force increased by 11.4% and 12.1% respectively. Our performance-based income was $378 million versus a loss in the first quarter of 2020. We did have a net loss of $1.4 billion that was recorded in a quarter, which there was a $4 billion loss on the dispositions on those announced sales of the two life insurance companies. And that was not fully offset by the strong operating performance. The strong operating performance charter did create that adjusted net income of about $1.9 billion, as you can see from the table on the bottom. And that's 55.7% higher than the prior year quarter as reduced auto claim frequency and higher net investment income, more than offset increased catastrophe losses. Let's go to Slide 4 digging a little on National General, which is an excellent growth platform for us. We acquired the business for $4 billion in January and that's to grow market share within the independent agent channel. And National General has appointments with over 42,000 independent agents. That expands our product portfolio as well includes non-standard auto insurance, where we had a very small presence, lender-placed homeowners insurance, accident and health insurance and two digital marketing platforms. National General’s agency-facing technology is effective, efficient and scalable. So we're a better owner for National General, since it improves the independent agent business, it lowers costs and it will generate incremental growth from here. It will become a top five independent agent carrier.  And then the combination of Allstate's standard auto and homeowners insurance expertise with National General's expertise in non-standard auto insurance, will give us a really broad portfolio of products to provide to independent agents. Significant expense reductions are expected by consolidating Allstate’s to independent agent businesses onto National General's technology and operating platform. And the cost to acquire these in force policies, which is about one point of our market share at the net acquisition price is comparable to doing this organically. Now we have three measures of success through these acquisitions. You can see in the bottom of the table, accretion to earnings, achieve expense synergies and grow IA channel policies in force. We’re only a quarter into it, but we had a really strong start on these goals. We put Glenn and the team, [indiscernible] have been working on this really since the six months we started the deal in July six months before we bought it. So we came into this first quarter with a head of steam. And the Allstate protection segment added $1.3 billion in net written premiums, $138 million in underwriting income this quarter. Allstate Health and Benefits increase adjusted net income by $35 million. We are integrating Encompass onto the National General platform and are on pace to achieve our expense synergies. We also expect to grow policies enforced by broadening that product portfolio in IA channel. And of course, that represents about a third of the total person lines market. The IA channel policies in force are approximately six times larger after this transaction, as we add standard auto and homeowners insurance products to National General’s offering later this year that will drive even more growth. Let me now turn it over to Mario to go through the first quarter results in more detail.
Mario Rizzo: Thanks, Tom. And good morning everybody. Let's go to Slide five and delve a little deeper into Property Liability growth. Property Liability policies in force grew by 12.1%, compared to the prior year quarter. National General, which includes Encompass, contributed growth of 3.9 million policies. The Allstate brand grew policies by 0.5% due to growth in homeowners and other personal lines as you can see by the table on the left. Allstate brand auto insurance was flat to the prior year, as increased new business was offset by lower retention. The chart on the lower right shows a breakdown of personal auto, new issued applications compared to the prior year, which increased 64% in total, primarily due to the incremental 526,000 applications generated by National General. The middle section of the chart shows Allstate brand impacts by channel, which in total generated a 5.4% increase in new business growth, compared to the prior year. Modest increases from existing agents and a large increase in direct channel sales, more than offset the volume that would normally have been generated by newly appointed agents, as we pilot new agent models with higher growth and lower costs. As a result, property liability net written premium grew 13.7% in the first quarter compared to prior year, driven by a 12.9% increase in auto insurance and a 20.3% increase in homeowners insurance. The auto insurance net written premium increase was driven by a 14.1% increase in policies in force due to National General and increased new business – new issued applications across all brands. These favorable impacts were partially offset by lower average auto insurance premiums from approved rate decreases and lower retention, partially driven by the impact of special payment plans that were implemented during the pandemic. If you flip to Slide 6, you see property-liability margins remain strong. The recorded combined ratio of 83.3, improved 1.5 points compared to the prior year quarter, primarily from a lower underlying loss ratio driven by reduced auto frequency and continued cost savings. The auto insurance recorded combined ratio of 80.5, was 8.8 points below the prior year, primarily due to lower accident frequency in the quarter. Allstate brand auto property damage gross frequency remained below prior year levels in 47 of 51 geographies, which includes the District of Columbia. The chart on the lower left shows the impact of the pandemic on Allstate brand auto property damage gross frequency. As you can see the onset of the pandemic and efforts to slow the spread of the virus had a large impact on frequency beginning at the end of the first quarter of last year, and then extending into the second quarter when auto frequency was at its lows. This timeframe coincided with Allstate's shelter in place payback. Following the second quarter of 2020 property damage frequency has trended below pre-pandemic levels by approximately 28%, as you can see by the third and fourth quarter variances to 2019. And first quarter of 2021 frequency showed a comparable decline relative to 2019. As you can see from the chart on the bottom right, we continue to make progress in reducing our cost structure, enabling us to improve the competitive position of auto insurance, while maintaining strong returns. The property liability expense ratio improved 2.5 points in the first quarter of 2021, compared to the prior year due to the absence of coronavirus-related expenses incurred in 2020, such as the shelter in place payback as well as continued cost reductions. This was partially offset by a significant increase in advertising investment. The expense ratio, excluding coronavirus-related expenses, restructuring charges, and the amortization of purchased intangibles associated with the acquisition of National General was 22.8, an improvement of 0.5 points compared to the prior year quarter. In connection with the anticipated benefits associated with the future work environment, we expect to incur approximately $110 million in restructuring costs during 2021 with $33 million recognized in the first quarter, primarily related to real estate exit costs. These restructuring costs and their future benefits are incremental to the $290 million of aggregate restructuring costs related to transformative growth, which we announced in the third quarter of 2020 and of which we've recognized $256 million to date including $17 million this quarter. Let's move to Slide 7 to discuss our progress on building transformative growth business models. So transformative growth is a multi-year initiative to build a low cost digital insurer with broad distribution. This will be accomplished by expanding customer access, improving customer value, increasing marketing sophistication and investment and building new technology ecosystems. A longitudinal plan segments transformative growth into five phases, starting with the conceptual design and ending with the retirement of the old business model. We've completed Phase 1 and much of Phase 2. In Phase 2, the auto insurance competitive position has been improved leading to higher close rates. This was supported by cost reductions. Direct capabilities have been expanded and sales volumes are increasing. New branding has been launched and marketing investment has been increased. This combined with industry-leading telematics capabilities will increase growth. We believe Allstate is among the leaders in telematics and is the largest pay-per-mile provider through Milewise, which offers lower costs for customers who drive less. We've also expanded independent agent distribution through the National General acquisition. Looking forward, we are now into Phase 3 in building the new operating model. We will support the transition of Allstate agents to higher growth and lower cost models. New agent models are also being tested to serve customers who want a local agent. Improving customer acquisition costs relative to lifetime value will lower costs. Expense reductions will support increased investment in growth and technology. The new customer experience and product management technology ecosystems also get deployed in this phase. Now let's go to Slide 8, which highlights investment performance for the first quarter. Net investment income totaled $708 million in the quarter, which was $462 million above the prior year quarter driven by a higher performance based income as shown in the chart on the left. Performance-based income totaled $378 million in the first quarter as shown in gray, reflecting broad based valuation increases in private equity investments and sales of underlying real estate investments. Market-based income shown in blue was $6 million below the prior year quarter with lower interest rates, our reinvestment rates remain below the average interest bearing portfolio yield reducing income. Our first quarter GAAP total portfolio return was minus 0.2% as you can see on the bottom of the left chart, reflecting lower fixed income valuations. Over the last 12 months, the total return was 8.8%. As discussed previously, our performance-based strategy has a longer-term investment horizon with higher, but more volatile return expectations. This volatility can be seen by the chart on the lower right. It highlights the one, five and 10-year performance-based internal rates of return. The one year trends has been volatile throughout the pandemic with the two most recent quarters, significantly higher than the returns experienced during the middle of 2020. Conversely, the five and 10-year trends are stable and closer to our expected returns. Moving to Slide 9. Allstate Protection Plans continues to grow revenue and profit. As you recall, we purchased Allstate Protection Plans for $1.4 billion in 2017 to broaden the protection solutions offered to customers. It provides low cost protection with excellent service. Products are primarily sold for U.S. retailers and leverage the Allstate brand. Since acquisition, Allstate Protection Plans has experienced rapid top-line growth and improved profitability. Revenues have grown at a compound annual rate of 48% over the last three years, as you can see on the bottom left. And we're more than $1 billion over the latest 12 months. Adjusted net income went from a loss of $22 million in 2017 to income of $148 million over the last 12 months. Additional growth will be achieved by further expanding appliance furniture and mobile phone protection, expanding the geographic footprint outside the U.S. and creating new innovative services such as two-day appliance repair. This acquisition has been an incredible success for us. Now let's move to Slide 10, which highlights Allstate attractive returns and strong capital position. Allstate continued to generate attractive returns with adjusted net income return on equity of 23.2% for the last 12 months, which was 5.7 points higher than the prior year. Excellent capital management and strong cash flows have enabled Allstate to return cash to shareholders while simultaneously investing in growth. We provided significant cash returns to shareholders in the first quarter through a combination of $601 million in share repurchases and $164 million in common stock dividends. The current $3 billion share repurchase program is expected to be completed by the end of 2021. Given our growth strategy and sustainable earnings potential, we announced a 50% increase in the quarterly common shareholder dividend to $0.81 paid to shareholders on April 1. The total cash return provided to shareholders was 7.8% of average market capitalization over the last 12 months. With that context, let's open up the line for questions.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Josh Shanker from Bank of America. Your question, please.
Josh Shanker: Yes. Thank you very much for taking my question. So it looks like there's very good success in the allstate.com direct model. Can we talk a little about whether we shuttered the purchasing through Esurance and the sort of flows we're seeing on the new policy apps on the allstate.com site?
Tom Wilson: Glenn, do you want to take that?
Glenn Shapiro: Sure. Yes. So we have not completely shuttered Esurance. What we've done is we've redirected our marketing dollars from the Esurance brand to the Allstate brand. And in addition to that, we've invested more in the Allstate brand as well. So – but part of that was being able to move that marketing. So while Esurance has trailed down, we're still taking advantage of the goodwill that we've paid for over years of that brand. And the fact that people recognize it, still find the Esurance out there and they have good products for a portion of our market. So we're still selling some there, but the growth is absolutely being driven by the Allstate brand. As you saw in the supplement that or the Q, we've got 33% increase in direct sold business. So it's really taking off and we've got more capacity going into that system, because a direct system is – I won't say only limited, but a main limiter would be your capacity, your sales capacity in there. So we're growing the contact center, improving web flows and really growing the Allstate branded direct sold business. [Indiscernible] as you know, is part of transformative growth, we're also building a new technology ecosystem, a product management system and a customer experience system. As that gets rolled out, we will shutdown the Esurance system and then we will stop selling products under the Esurance thing. But we have some time to do that.
Josh Shanker: And the 278,000 new policy apps at Allstate direct, are those apples-to-apples with the 200 or so that you sold one year ago, or was that part of a joint direct captive sort of relationship where we're directly the lead generator or are they complete apples-to-apples those two types of new applications?
Tom Wilson: Glenn, do you want to take?
Glenn Shapiro: Yes. Sure. Yes, it would be an apples-to-apples. It's basically just think about customers that come to us by either clicking or calling directly into an 800 number as opposed to the customers that come to us through an agent. So it would be an apples-to-apples comparison.
Josh Shanker: And can we talk about National General, Encompass and Allstate brand through independent agents, is Encompass going to be called National General, even though the National General and Encompass products are kind of a different target customer and what would be wrong with calling the product Allstate?
Tom Wilson: Well, let me take the branding question then Glenn can fill in how we're doing the transition, because it's different for Encompass than it is for the Allstate independent agent. So first from a branding standpoint, we've decided that the Allstate brand and personal property liability will be on business that we control both the sales and the service on it. So that's both the Allstate agents and then direct whether that's a web or call center. For the independent agent business, we've rebranded National General. So it's National General and Allstate company and we launch it, I think beginning of January. So that you get the relationship with Allstate, but that everybody understands that it's separate than that, which you would get from an Allstate agent. We do not do that with the Allstate brand in the circle of protection. So for example, we sell under the Allstate name at Walmart, sell under the Allstate name at Home Depot, at target, which gives us both increased exposure to customers, enables us to further leverage that capability. And quite honestly, it's helped us dramatically expand Allstate protection products because of the power of their brand. So slightly different strategy from a branding standpoint, inside the personal property liability markets and outside, but we try to leverage it everywhere we can, but provide, make sure that that brand stands for certain things in different areas. Glenn, do you want to talk about your plans to both integrate Encompass and Allstate independent agents into National General and then Josh’s question on branding at the same time.
Glenn Shapiro: Yes. So thanks Josh, because I think it's an interesting question because I think if you take from a legacy standpoint, National General and what it was best that known for in Encompass and what is best that known for, it would be different as we suggested. But as Tom just pointed out National General and Allstate company, that's going to be a different story. We're launching middle market products. So think about basically the Allstate product capability in the middle market auto and home and other personal lines. On the National General platform and branded as National General and Allstate company starting in the second half of this year and then really fast expansion. So it would be to all 50 States within 18 months of the start of that. So before the end of next year. So really National General and Allstate company is going to be a company that is serving from nonstandard up through a mass affluent, and everything in between. It really is another national player in the independent agent space. And we've gotten a phenomenal reaction from independent agents and they are genuinely excited to have another significant player and with the capabilities of Allstate, National General combined in that market. And so we're positioned really well to grow with a lot of greenfield ahead of us in the independent agent space.
Josh Shanker: The Encompass name will disappear?
Tom Wilson: It will be at part of National General and Allstate company, correct. Whether we grow the policies to a new policy or leave the policy outstanding under the Encompass name and basically put National General stuff on top of it, it would just depend on the cost of it. And Encompass, it goes first and the Allstate independent agent, which is Allstate brand products sold through independent agents in rural spaces where it was not economic to have a captive agent, mostly there's a few places where it didn't work that way, but mostly that will transition over time as well.
Josh Shanker: Excellent. Thank you very much.
Operator: Thank you. Our next question comes from the line of Jimmy Bhullar from JPMorgan. Your question, please.
Jimmy Bhullar: Hi, good morning. So first I guess for Glenn or Mario, but the question on just auto –the auto business. How do you see the interplay between the frequency and pricing? And it seems like everybody's had very good margins in personal auto over the last several quarters. At what point do you see sort of pricing catch up to that? And in that environment, do you think if the market stays competitive; are you still in a position to grow your discount?
Tom Wilson: Let me provide an overview and then Glenn if you want to jump onto this one. So first I'm going to go up a little bit. First, it's about how do we think about increasing market share and we'll use two words together profitable growth. We put them together because that's what we want. We do not believe that growth with no profit is good for shareholders. So the objective of course is maximize shareholder value. Our expected outcomes for our team are that they will balance between growth and profitability. Our strategy of course is as Mario talked about in the first phase, second phase of transforming growth is getting more competitive auto insurance product. And we supported that, of course in worse being successful by reducing our costs. So the first thing would be we can control our costs and we can make sure that if we reduce prices to get more competitive, we still maintain our margins. Obviously, we want to be smarter whether that be how we price or how we acquire business and our marketing and we're also using telematics. And then as we go forward with transformative growth, it'll be by being faster with better technology and having new products affordable, simple and connected that are sold through that broad range of distribution that Glenn was just talking about from direct to Allstate agents. So Glenn, do you want to jump in on the specifics?
Glenn Shapiro: Yes. So first I'll talk about frequency a little bit and then go to competitive position. So from frequency standpoint, what we're – everybody has benefited from some lower frequency. But we've also looked at a deeper level at it, but then just sort of miles driven and the number of accidents coming out, because there are differences by books and you see differences in competitors as to how much tailwind that's providing. So, we look at the fact that commuter driven or take it from rush hour losses are down about three points more than overall losses. And we look at rural driving is down about four or five points less than urban driving. And so we look at these that are pretty deep level, and we we're fortunate to work with Arity and have a lot of data on this with 10 years plus of telematics that we get pretty granular into how we're looking at it and understanding the frequency picture. So we've got a tailwind with that, which takes me into competitive position because we've been moving our competitive position pretty aggressively. Like you see a minus 1.5 on average premium, and that might feel or seem slight, but there's a lot underneath that. We've moved new business pricing. We've moved telematic pricing. We've reduced the cost of our Milewise program. That's grown really nicely and all of that is inside of there. So our competitive position on the price changes we've made and that are still going into market have really improved. And our close rates are up. We're starting to see those really positive signs of momentum across multiple states.  And then you put on top of that, the fact that some of our competitors have already taken price increases, some of those out there. We've heard others say that they're going to start taking bites at the apple in terms of price increases. And you look at our position and obviously we're in a position right now. We continue to invest in growth. We can still put money into marketing. We could still put money into competitive price position because of where we're positioned, which really puts us in a great spot to grow going forward.
Jimmy Bhullar: And then just any comments on your views on if growth to the extent you're able to quantify or give a range on how I'm assuming it should trend higher later this year and into next year as you're implementing some of these initiatives in direct and independent agency, but to whatever extent you can quantify or give us an idea do you expect it to be?
Tom Wilson: Well, we're not – we don't give forecast on if growth or frequency or case tasks, these things you can't predict. Let me talk about growth a little bit, because it is really an important question that many analysts have. And of course it drives huge value in the market today. And so we were starting to have first actuals matter and we had a great quarter. I mean, over 25% revenue growth, our fifth growth was in the low teens. And we're headed towards increasing our market share pretty significantly in personal lines this year, which is consistent with our strategy. I guess what we set out to do? Now, you'd have some naysayers and say, well, you bought it with the acquisition of National General. And that's of course true. But you always have to investigate market share. In this case, it is real growth. And we look at it and said, if we had taken the net price that we paid for National General and thrown it into marketing or higher commissions or some kind of spiff. It likely would have given us less growth than we got. And certainly not the kind of profitability we're getting from it. The same thing, but we did buy it. But we did the same thing with Allstate protection plans, right? We bought SquareTrade. We repositioned it with our brands and that acquired growth and turned into an organic growth platform. We expect the same thing to happen with National General. The difference is we paid a slightly higher premium for SquareTrade than we did for National General. As it relates to the Allstate brand, we have multiple ways to grow, right. We got the Allstate agents and we're making – helping them transition to a new model. We have the direct business, which we've launched in is so by the way, at a different price than through an agent, because we believe customers should pay for what they get. And if you get an agent and get that help, you should be willing to pay for that. And so overall we feel like the Allstate brand is positioned for long-term growth as well. And so we feel like we've got an overall plan to move forward, has got transformative growth in it. It's got real growth this quarter and it's got – we're building platforms and we'll continue that growth going forward.
Jimmy Bhullar: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Greg Peters from Raymond James. Your question, please.
Greg Peters: Good morning. My first question will be on reinsurance. Tom, I was hoping you could just give us an overview of how reinsurance helps the company this quarter. And then I know you did file your reinsurance update piece and maybe talk about what's changing going forward. I did note that the costs in the first quarter about 14% higher versus a year ago is that the type of cost or increase we should expect for the full year.
Tom Wilson: Greg, let me start with this strategic perspective on it, and then either Maria or Glenn, if you want to talk about the first quarter. So I'm going to go back a long way. But in 2004 and 2005 we had huge catastrophe losses. We weren't earning any money on the homeowner's business. We'd make some money one year and we would lose money the next year. When you looked at over time, I think this is not a really good business. So we looked at getting out and we said what – if we were out, we'd want to be in, because it does, our customers do want it. So maybe it's just this catastrophe risk they don't want. So we created a very comprehensive catastrophe reinsurance program to basically divest certain portions of the risk we took on. And that's evolved over time. We have a very sophisticated multi-year program. It's got – it's by stated got different by event. It's got the aggregate in it. And we bear that cost each and every quarter, obviously that comes through. And then sometimes it pays off. And what you saw this quarter was the aggregate kicked in. And so from losses, some of the losses, which were last year showed up as reducing our catastrophe losses this quarter, which were upgraded significantly. And that helps smooth it out. And we've looked at that from what kind of return on capital do we give up to the reinsurers and we're quite comfortable giving up the return that they get to avoid the volatility that comes from it. And so it's helped us reposition the homeowners business, so that now it's a very consistent source of profitability for us. As I was saying to the prior question, we don't believe in growth with like running homeowners above a 100 is not a good plan and you're destroying value at that point with growth. And we don't believe in that. So we've used reinsurance to help reposition the business. We did a whole bunch of other stuff including changing the product and changing the way we price and how we underwrite it, where – how we do our segmentation by down to specific risks codes. So how we pay for roofs, there's a whole bunch of stuff we've changed underneath that over the last decade. But it's a really good business. In reinsurance, using that reinsurers helped us get there. So what you saw this quarter was a benefit, which is more than was earned in this quarter, but it was paid for in the prior quarter. So if you – some people want to exclude it from this year's quarter, totally get that. Unlike that's fine. But then you should not be counting all the costs from the other time. Mario, Glenn, do you want to talk about the cost of reinsurance and the program going forward? 
Mario Rizzo: Sure. I can jump in on that Tom. And just to give you a little color, Greg, on the benefits in the quarter. We recovered about $955 million in the quarter on a net basis. Part of that was from our per occurrence nationwide program where we retain the first $500 million of an event. And then we have coverage up – in our current program up to $5 billion. And then as Tom mentioned, we also have an aggregate cover, which is about $1 billion, which spans a 12-month period. We also had recoveries under that. So combined, it was about $955 million. That's net of reinstatement premiums in the quarter, and it was principally on the freeze event in Texas. So the freeze event on a net basis cost us $586 million in the quarter. Once you start peeling back the prior year component of that reinsurance recovery, which was about $150 million. You get to a gross loss in Texas north of $1.3 billion. So we've benefited pretty significantly in the quarter from our reinsurance program. As you mentioned, we posted on our website – we placed most of the nationwide program this quarter and we still have a component of the nationwide program to do. And then remember we have a separate Florida program. The costs year-over-year, because we've included National General in this year's program. It’s going to be slightly higher than it was a year ago when you add up what we were spending on reinsurance and what National General was spending on reinsurance. But in terms of what you saw in the first quarter, you got to remember, that's still last year's program that was placed May 1. And what we saw last year was the increase we experienced was mainly in the Florida program. And you're seeing that kind of cycle through in the first quarter. We will start incurring the cost of this year's program when it incepts which is on June 1.
Greg Peters: That was a thorough answer. I appreciate it. I'd like to pivot to the expense ratio on Page 6 of the presentation slide deck you are continuing every quarter to show improvement in almost every quarter and show improvement in your expense ratio. And I guess when we think about the sustainability or more importantly, is this a trend that we should continue to expect forever? Obviously, I don't think your expense ratio is going to zero, but the improvement is noteworthy. And then just as in the slide, I did notice that the expense ratio was up in the Allstate protection home business. So, I'm curious if there was something unusual on that?
Tom Wilson: So, overall, Greg you are right our strategy to get a more competitive in auto insurance pricing, which was Phase 2 [indiscernible] transformed to growth, included taking down costs. And as you know, we did a large reduction in force last year, did about 3,800 people starting to see that come through this year. At the same time, our advertising was way up. And so, we try to balance between those two. I don't think you could expect it to come down half a point every quarter from now till an infinite item. You should know that our strategy is to both keep reducing cost every place we can so that we can have a more affordable product for our customers and therefore a better price. So, we get more of them. But not invest in growth, because if the kind of a return on capital we're getting in these businesses, we should definitely be seeking more growth. Mario, do you want to talk more about what you – this current quarter and what the ins and outs were?
Mario Rizzo: Yes. Thanks Craig. So, I guess, it's not mentioned. We're going to continue to focus on reducing our cost structure. And like we said, really all along, our focus on reducing our cost structure is not a margin expansion focus, it's a growth focus. And it's a growth focus because reducing our costs enables us to invest more in growth. And you saw it this quarter where we invested more in marketing and the component of our underwriting expense ratio related to marketing actually increased by nine tenths of a point. Yet it was more than offset by the operating cost reductions that Tom referenced from last year. So, real ins and outs were more investment in advertising, more than offset by cost reductions and net-net a half a point improvement in kind of the underlying expense ratio in the quarter. And we're going to continue to focus on moving that number down. The other thing I'd mentioned on expenses, and it's not obvious in our numbers is, part of our focus on cost reduction has been on getting more efficient in claim handling. And we've improved the efficiency in our loss adjustment expense, which comes through the loss ratio. But again, we consider it as a core part of our cost reduction efforts to improve the combine – improve the cost structure, creates a path we need to invest and be able to grow more and continue to deliver excellent return. So, I think what you saw in the quarter was really kind of proof of, of how that strategy is playing out. In terms of the homeowner expense ratio specifically, Greg, I'd have to go back and take a look at what components of it – whether it came through distribution costs, or underwriting costs, whether it was like inspections, and so on. So let me take that one offline and I'll get back to you on that one.
Greg Peters: Got it. Thank you for the answers.
Operator: Thank you. Our next question comes from a lot of Paul Newsome from Piper Sandler. Your question, please.
Paul Newsome: Good morning. Thanks for the call. Congratulations on the quarter. I was hoping you could expand a little bit more about what it means to transition the existing through agents to a different model. We get emails from agents all the time. Usually, they are worried about this or that. Is this a transition that's really towards more of an independent agent type structure with equations, or are we talking to something that's completely out of book? Or if it's sort of to be determined?
Tom Wilson: Let me provide a little view and then Glenn can tell you some of the specifics of what we're doing. But Paul first thing I would say is now we're not going to do the nationwide deal and turn them all into independent agents. We don't think that makes sense from a customer standpoint. Customers come to us because they love the Allstate brand. We have a really strong brand, long relationships, so we're not planning on turning them into something else. And obviously the fast pace of change has all of this on it, whether you're a retailer or anybody what's going on in the world. And the good news for our agents is that still a majority of consumers want an insurance professional help them buy insurance. And our agents are really good at it. That said, people are more comfortable with self-service, simple items and the technology enables a computer to do some of the work that used to be handled in by people and stellar in some cases handle the local offices. So we have to transition their model and go where the customer is going. And so that includes maybe we don't have to use as much real estate as we use today. We certainly do not need to do as much service work in agent offices. So, we have a little over 10,000 Allstate agents. There's probably 26,000 to 27,000 people working in those agencies. Some of those people are doing service work. And we think we can do that either centrally at a lower cost and be more effective for our customers, or just get the computer to do it. Nobody does it at all. So, we have to figure out how do we transition those people in those offices to doing service work, to doing sales work. Or if they can't transition those licensed sales professionals, have the agents build up staff, they can move into that. So last year, one of the things that Glenn and team did was they raised new business commissions to incent, to give people the opportunity to invest more, and sell more things to more people and get more people selling for them. To offset that and continue to make sure we're meeting our customers’ cost needs, we slightly reduced renewal commissions to reflect that. So, if you're an agent and you're focused on new sales, that's a good thing. You're excited about it, you are off and ready to go. If you've been focused more on service and not on growth, then you are not going to be as excited about that change because it changes your business model. So, we have to help them transition from where they are to the place where the customers want us to go, which is they want help, but they want to do it in technologically efficient, low-cost way. And we think that there's a good way to do it. Glenn can give you some examples of what we're doing with our existing agents. We've already talked about what we're doing direct to serve our customers. And then we're also trying some new models that Glenn can talk about, that do the same thing, which is use people to help people buy insurance in a local space, but at a lower cost. Glenn, do you want to give them some more specifics on that?
Glenn Shapiro: Yes, absolutely. And Paul, Tom hit a lot of the really important points here. But a couple bear repeating, so no harm being repetitive, but it's really important. So, it's a hard no on the IAP. So, I'll just reiterate, as Tom said, we are dedicated to our exclusive agent model completely. And we believe that there is a not only a meaningful place, but a huge place for our exclusive agents to grow in the market because as Tom said, most consumers still want to work with an agent. So, in the presentation materials that talked about higher growth, lower cost models, so, I'll just hit a couple of things. Lower cost, we've been really reticent in the past to allow agents to consolidate locations or to even go in some cases without real estate or reduce their real estate footprint. We've been very focused on a model that is how many signs do you have up across the countryside. And we're going to really lean in to allowing agents to reduce costs in the way they run their business. And Tom talked a bit about the service. We started that in 2019 and we built it up a bit and everything, but we really have to get to a centralized, and more efficient and effective way of serving customers than separately across 10,000 different locations. And we can take a lot of cost out of the system and reduce the cost for the agents so that they can focus on growth. From a higher growth standpoint, it's about leaning in, on the marketing that they do, that we can help them do more effectively and efficiently as a large enterprise, the lead management that they do, compensating them more for new business, as Tom mentioned also. That's the existing agents and how we want to transition that to higher growth, lower costs. The new models, for example, and we have several hundred of these already in place actually where we are learning from our Canadian operation. Actually, in Canada we have Allstate agents who operate sort of independently from one another. It's not an agent with multiple staff, they are independent workers and producers. And they work on sort of a balance between being in communities, and driving leads themselves and getting leads from the company. And it's been very successful. We're growing very fast in Canada. So, we're leveraging that model and looking at models with no real estate in local markets that are part of the community and are able to take leads and also generate their own leads in that community and grow. So, it's early in the process, but in the second half of the year, we're looking to ramp those up significantly.
Paul Newsome: I guess, relatedly, could you talk a little bit about any early looks on the pilot programs for new agent recruitment? And if there's some different things that will be happening there in the near future?
Tom Wilson: Glenn, do I take that? Hey Glenn, do you want to take that or maybe you are on mute.
Glenn Shapiro: My apologies, I did go on mute there. Yes, so we're focused on those new models. I just mentioned in terms of our recruitment right now. And so we have been, I think, – we have several hundred already and we have a lot more in the pipeline. So, we're looking to grow with those new models. What we're really focused on with the existing agent group, well we’re recruiting sung into the compensation programs that we have as opposed to what we called enhanced compensation program, which was a higher cost model before we're recruiting some into that as more of what you had refer to as a traditional exclusive agent. But the heavier emphasis on our recruiting is on those new models, where with our existing agents, we are really focused on investing to get more of those agents growing and wanting to grow. The good news is they are growing right now. We have increased new business production with our existing established agents. So, when you see the total that somebody referenced earlier, it's slightly down on the overall agency force that is driven by sort of a lack of new appointments, the existing agents, new businesses up year-over-year
Tom Wilson: And Glenn, let me just add last point which is when you see that little red bar on our graph, that was an intentional choice on our part, not a flaw in the system. So, it's not like we decided that, you know what, we were hiring these new agents, we required them to have their own office, we require that they have support staff. To make that work when you have no customers, we're paying 30% upfront commissions which then stayed high for it, not at 30%, but stayed higher than customers should have to pay for them for about five years. And we said what, but this is not the model of the future. We could have kept that going while we develop these new models. And the system would look like it would have been generating more growth than it is today. But we say, economically, that's just not the smart thing to do. Like we're not using shareholders money, right. And that's where we get into which the conversation we’re talking about before is profitable growth. If you're going to [indiscernible] profitable long-term growth, and so you have some bumps, but that's not about a flaw in the system. That's about an intentional choice.
Paul Newsome: Appreciate it. Thank you very much.
Operator: Thank you. Our next question comes from the line of David Motemaden from Evercore. Your question, please.
David Motemaden: Hi, good morning. I guess I wanted to just touch on retention. I was surprised it fell a little bit here again also, especially, given some of the rate actions that you guys have taken. I guess, could you maybe just talk about how much of an impact the lapsing of any billing leniency may have had on the retention, and what your expectations are for retention going forward, like, should we see a snapback here in the second quarter? Yes, I guess that's just my question on retention.
Tom Wilson: David let me provide an overview and Glenn, you can take the impact of the pandemic billing stuff. First, I would say retention is really hard to do attribution on. People leave for all different reasons. And sometimes it's for price, sometimes it's because they move, sometimes it's they bought a new car. And so, it's difficult to get it down to precision to, in a point.  What you do know is if your net promoter score is good and you are doing a better job for customers, they should stay around longer. And if you are competitive in price and you are changing your price not only for new business, which we've done, but also for your existing customers, which we've done, so they have a better price and that should also keep them. But there's lots of different variations. So it's kind of really hard to predict it. Glenn, do you want to talk about how you're feeling about retention this quarter? And again, we have a hard time, nobody really knows how to predict retention.
Glenn Shapiro: Yes, absolutely. So, retention is a lagging metric, first of all I’ll start there. Wherever or whenever a customer decides to cancel, move, shift we record it and report it at the point of what would have been the renewal. So, there's a bit of a lag to that. So, while we stopped the special payment plans during last year, there's still some of that trick going in. So as Tom said, attribution is difficult on this. But there's a portion of it that's related to that. No question. Secondly though it is a highly competitive market right now, shopping is up, advertising is up and there is some impact from that. It's interesting. When you look at National General, as an example, if you saw in some of our disclosures, like National General’s, new business, it's really eye-popping, because National General writes a lot more new business to grow because they have a shorter cycle time. As our business shifts and we look at overall protection business and we're writing in more markets, and we're writing direct and not just through our exclusive agents, that number will move around a little bit on retention, but our focus is to create a lot of new business. We're going to do that. That's what transformative growth is about. We're going to create a lot of new business so that the undulations of retention don't mute our overall growth.
David Motemaden: Got it. Thanks. That's helpful. And then maybe just on the new business side, obviously great growth, especially on the direct side in new apps. I guess I'm wondering maybe if you could just – you had kind of mentioned it in your script, but want to just a bit more details on the Milewise offering and how that did this quarter? How big that is as a percentage of the entire book? And was that really the driver behind the direct growth that we saw in the quarter?
Mario Rizzo: Glenn, you can take where we are with Milewise, and number of states and how [indiscernible] you got the done pricing. I would say though, when you just step all the way back, we're about building a digital insurer. And sometimes that gets lost into how big and how successful we are given the size and scale of our company. [Indiscernible] sometimes people look at people who only do that and assume that, they are about to take over the market. We're happy to compete. We feel like we're really doing well in here. We’re early in telematics. We think we're a leader in telematics. And this is an example of a product where we were out early, we're aggressively advertising it and it's resonating. Glenn, do you want to talk about, what you've done to help it grow?
Glenn Shapiro: Yes, absolutely. And to the question of, is it driving the direct growth, I would say, no. Direct growth a majority of that is not Milewise. It's an interesting thing to look at, as Tom said, when you look at it inside a company like Allstate, Milewise will look relatively small. It's up, this year it's something close to in autos. Policies, I think, are foreign change times, autos are six in change times what they were a year prior. So significant growth. If this was a standalone startup sitting outside of a large insurance company like Allstate, it is the largest in the industry pay by mile program. And it would look really big, and really fast growing and really attractive. Inside of Allstate, it is helping our growth, but it is not driving our growth, is the way I'd say that. We're looking to expand over time on Milewise. Right now, it's available to about 50% of consumers across the country. And we have more states lined up for that. It does require the OBD port, which, I think, everybody knows there are chip shortages out there. We have not run into a problem where we have to slow down our – Milewise at this point. But we are actively managing our supply chain on it because it is a popular product. And we're managing our state expansion and looking at that so that we don't run into a supply chain issues.
Tom Wilson: Thank you for the questions, I think, we're out of time here, it’s top of the hour, and we try to be respectful of your time. Obviously, we appreciate you coming to spend time with us in here about us. We had an excellent quarter the work and you saw from that first slide, the amount of expertise and effort that went into delivering all that for the quarter. It wasn't just this quarter, it's what we do over time, but we feel good about where we're at. So, we've had great operating results as well. So, thank you for your participation. And we'll see you next quarter.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.